Operator: Good day, ladies and gentlemen. Thank you for standing by and welcome to Ardelyx’s Fourth Quarter and Year End 2014 Earnings Conference Call. At this time all participants are in listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. As a reminder today’s call is being recorded. It is now my pleasure to turn the floor over to Kimberley Minarovich, Vice President of Investor Relations at Burns McClellan who will make introductory comment.
Kimberley Minarovich: Thank you, Ben and good afternoon and welcome to Ardelyx’s fourth quarter and year-end 2014 earnings conference call. Earlier we issued a press release providing the details of the company’s fourth quarter and year ended 2014 financial results as well as the corporate and clinical update. The press release is available in the investor relations sector of the website at ir.ardelyx.com. Joining today’s call will be Mike Raab, President and Chief Executive Officer; Jeremy Caldwell, Executive Vice President and Chief Scientific Officer; David Rosenbaum, Senior Vice President of Drug Development; and Mark Kaufmann, Chief Financial Officer. As a reminder during today’s call Ardelyx will be making forward-looking statements. To the extent that the statements contained in this press release are not descriptions of historical facts regarding Ardelyx they are forward-looking statements reflecting the current beliefs and expectations that management made pursuant to the Safe Harbor of the Private Securities Reform Act of 1995, including statements regarding our intentions to provide updates regarding progress on our proprietary pipeline and the timing thereof, the availability and timing of data from the ongoing Phase 2a clinical trial evaluating tenapanor in chronic kidney disease patients, the timing of AstraZeneca's decision regarding future development plans for tenapanor, the potential for tenapanor in treating IBS-C patients, the potential for tenapanor in treating hyperphosphatemia in patients with end state renal disease on dialysis, and the potential of our drug discovery and design platform. Such forward-looking statements involve substantial risks and uncertainties that could cause the development of tenapanor or Ardelyx's future results, performance or achievements to differ significant from those expressed or implied by the forward-looking statements. Such risks and uncertainties, include among others, the uncertainties inherent in the clinical development process, Ardelyx's reliance upon AstraZeneca for the development of tenapanor, AstraZeneca's right under the licensing agreement to choose which indication or indications for which tenapanor will be developed, and AstraZeneca's right under the license agreement to terminate the agreement upon written notice to Ardelyx. Ardelyx undertakes no obligation to update or revise any forward-looking statements. For a further description of the risks and uncertainties that could cause actual results to differ from those expressed in these forward-looking statements as well as risks related to Ardelyx's business in general, please refer to Ardelyx's third quarter report filed on Form 10-Q with the Securities and Exchange Commission on November 7, 2014 and its future periodic reports to be filed with the Securities and Exchange Commission. At this time it's my pleasure to turn the call over to Ardelyx's President and Chief Executive Officer, Mike Raab. Mike?
Mike Raab: Thank you, Kimberley. Good afternoon everyone and thank you all for joining us. On today's call I'd like to review our key achievements from 2014, share some recent clinical progress and also discuss some important clinical milestones that we expect in the coming months. Mark Kaufmann, our Chief Financial Officer will then discuss our fourth quarter and year-end 2014 financial results. We're very pleased with the significant amount of progress that we made in 2014, including a successful $61.2 million IPO that we accomplished in June, the completion of two Phase 2b clinical trials from our tenapanor program that we partnered with AstraZeneca in IBS-C and CKD-5D, also on known as ESRD. And the addition of our new Chief Scientific Officer, Jeremy Caldwell. In October we reported positive Phase 2b data for tenapanor to treat Constipation-Predominant Irritable Bowel Syndrome or IBS-C, in a double-blind placebo control treatment 71 patient file, tenapanor at 50 mgs twice daily met its primary efficacy endpoint of an increase in the complete spontaneous bowel movement responder rate and tenapanor at the same dose also produced statistically significant effects on abdominal pain and overall responder rates. Most secondary endpoints, including abdominal pain and other abdominal and IBS-C symptoms demonstrated statistically significant and clinically meaningful improvements, off of the 50 mg twice daily dose. Earlier this month we reported results from our 161 patient Phase 2b trial evaluating tenapanor in hyperphosphatemia patients with chronic kidney disease who are on haemodialysis. The study met its primary endpoint with tenapanor treated patients demonstrating a dose related decrease in serum phosphate levels compared to patients receiving placebo, a statistically significant difference with a P value of 0.012. The most frequently observed adverse event was diarrhea with the rate of diarrhea and the discontinuation rate due to diarrhea higher than observed in previous tenapanor trails. Higher continuation rates due to diarrhea were observed primarily for 30 mg once daily and the 30 mg twice daily dose groups. Additional details on the trial design of these studies can be found on clintrials.gov and additional information related to the clinical outcomes is available in our periodic reports filed with the SEC. Finally in December we welcomed Dr. Jeremy Caldwell to the team as Executive Vice President and Chief Scientific Officer. Jeremy brings over 20 years of experience leading science driven research organizations within large pharmaceutical companies, research institutes and biotechnology companies. And we're very excited to have him join us to lead the development of the company's proprietary research and development efforts. We expect that at our upcoming R&D day scheduled for mid-year Jeremy will be able to update you about our research pipeline and plans for our proprietary technology that we use to develop minimally-systemic small molecule therapeutics that work exclusively in the gastrointestinal tract to treat cardio-renal, gastrointestinal and metabolic diseases. Looking ahead at upcoming clinical milestones for 2015, we expect to release the results from our Phase 2a trial evaluating tenapanor in 154 patients with chronic kidney disease in the second quarter of this year. We current expect that AstraZeneca will determine its future clinical development plans for tenapanor after it has received all of the Phase 2 data. I will now turn the call over to Mark Kaufmann, Ardelyx’s CFO, who will review the fourth quarter and year end 2014 financials.
Mark Kaufmann: Thanks Mike. Rather than run through all the information disclosed in the press release I would like to focus on a few highlights from our financial. We had cash and cash equivalents of $107.3 million, as of December 31, 2014 as compared to $34.4 million as of December 31 2013. This was primarily due to receipt of the milestone payments from AstraZeneca and completion of the company’s initial public offering in June 2014. As Mike pointed out, we have been working under a license agreement with AstraZeneca for the past two years on development of tenapanor and have received several milestones to-date and there are two line items on our financial statement that reflects the operational aspects of this work; the AZ collaboration development expense line and our R&D expenses which represents the work that we are doing on behalf of AstraZeneca and the collaborative development revenue line which represent the 100% reimbursement we have received from AZ for that work. Both amounts in the fourth quarter and in the full year of 2014 have decreased since 2013 reflecting the decreased development activity performed by us under the AstraZeneca agreement. And these two net align to nearly net zero given the full reimbursement from AZ for this work. There’s another line on our financial statement that reflect our agreement with AstraZeneca, our licensing revenue line which represents the amortization of deferred revenues from milestone payments received from AstraZeneca. There is also about $1 million in this line reflecting the upfront payment from Sanofi in connection with the agreement we entered into with Sanofi in February of 2014 for our NaP2b inhibitor program. From AZ we have received $75 million in upfront and milestone payments today and as of December 31, 2014 the company had a total deferred revenue of $47.1 million related to the AstraZeneca license agreement. Our internal cash burn can be thought as roughly as the sum of our discovery research expense and our G&A expense. These amounts in 2014, $12.7 million and $7.3 million respectively totaling $20 million increased from $7.7 million and $3.7 million respectively totaling $11.4 million in 2013. The increase in G&A expense was primarily due to higher personnel related cost, public company expenses and additional costs to support company’s infrastructure. The increase in R&D expenses was primarily related to increase headcount, consultant service fees and lab supply expenses resulting from increased research activity for non-partnered program. We have discussed in the past our intention to increase our funding of our discovery and development efforts for our pre-clinical product candidate and to advance and expand the development of APAC [ph]. As Mike noted Jeremy Caldwell will update you at our R&D day mid-year regarding the progress we have made towards these goals.
Mike Raab: Thank you, Mark. With that we’d now like to take any questions you may have. And as a remainder we are also joined today by Jeremy Caldwell, Executive Vice President and Chief Scientific Officer; David Rosenbaum, Senior Vice President, Drug Development, if you have any questions related to our clinical programs. Operator, we are now ready to take any questions.
Operator: [Operator Instructions]. Our first question comes from the line of Jason Gerberry of Leerink Partners. Your line is open. Please go ahead.
Jason Gerberry: Hi, thanks for taking my question. This first question is on the milestone payment for the Phase 2 hyperphosphatemia study, could you comment on what that was predicated on? Was that just predicated on completing the study, setting statistical significant on the efficacy or achieving a positive dose response, just kind of curious if you could provide a little more color on what the milestone is predicated on? And then second question just on the Phase 2a CKD trial, is that a fixed dose trial? I know you mentioned the starting dose could be 50 mg bid, but just kind of curious if there is a dose titration that maybe would help mitigate some of the diarrhea in that trial? And then my third question just stepping back, now that you have more data in hand just sort of curious how you think about tenapanor more broadly, if you are -- how you are thinking about which indications look most promising to you? Thanks.
Mike Raab: Sure Jason, thanks for the questions. Let me address the first and the third. There isn’t milestone related to the completion of hyperphosphatemia trial. What we’ve disclosed is two things, is if AZ decides to move forward in any clinical trial that is not currently ongoing that would trigger a $20 million milestone. If that were only IBS-C as we released in the prior press release that would be $10 million rather than $20 million. So there isn’t a specific milestone related to the completion date or anything related to hyperphosphatemia trial. As it relates to your third question, in terms of which is most interesting I think as we shared with you at your meeting in New York a couple of weeks ago is that were this our drug we would find all these indications appealing. The nature of the relationship that we have with AstraZeneca, and as we said in both this release and previous one is they are going to wait for the totality of the data, once the Phase 2a is completed and make their decisions on whether to move forward with one, two, three or none of the indications. I think once we have got that insight that’s something clearly that we would disclose. Now I will pass it on to David for your second question.
David Rosenbaum: Yes, as far as the CKD clinical trial everybody starts at 15 mg bid and they are able to either escalate up to 30 or 60 mg bid or down titrate to 5 mg bid.
Jason Gerberry: Okay, great. And if I could just squeeze in a follow-up, just has Astra communicated exactly how and when they will provide an update or are you guys just operating on your own internal assumptions regarding when you will get an update on the development plans for each of their respective indications? Thanks.
Mike Raab: Sure and Jason I think as we shared as well is we continue with ongoing dialog on a frequent basis about the program, everything that’s ongoing. So it isn’t radio silence. There is no decision that has yet been made. So we are continuing to work collaboratively with them as we look at the opportunities going forward.
Jason Gerberry: Okay, great thanks.
Mike Raab: Thanks Jason.
Operator: Thank you. [Operator Instructions]. Our next question comes from the line of David Nierengarten from Wedbush Securities. Your line open, please go ahead.
Unidentified Analyst : Hi thanks, this is Dilip [ph] sitting in for David. Just had a question for the ESRD study, is there any data available on the actual frequency of bowel movements that you have seen on a weekly basis?
Mike Raab: No, there actually isn’t. We didn’t collect that. So there were no daily diary information on that clinical trial.
Unidentified Analyst : Okay. So in terms of moving to the CKD study then can you talk about little bit of how the base line diarrhea levels in those patients compares with that of the ESRD population?
Mike Raab: So that’s an interesting question. So the ESRD patient population is a more constipated patient population due to fluid restriction and high amounts of calcium that they inject. So it does have a slightly more constipated base line than the CKD patient population.
Unidentified Analyst : All right. So in terms of the reported diarrhea rate in ESRD it’s more just patient I guess responses in terms of how they felt?
Mike Raab: Yes, so each time they visit the clinic they are asked above their experiences during the previous week and they report based on their own personal perception. And since there’s such a heterogeneity in bowel function and as you know normal bowel function is from three times per week to three times per day. So each individual has a slightly different perception of what is loose stools or diarrhea for them.
Unidentified Analyst : For the CKD study I assume that there is weekly stool frequency is measured, right so it sort of…
Mike Raab: Yes, so yes. That is right.
Unidentified Analyst : Okay. Yes I am just wondering why there was such a difference in, I guess in the design of the study and going forward I assume if you do go into a Phase 3 the design of ESRD study would be more reflective of sort of the measures using CKD where are you measure the actual frequency and you incorporating more flexible dosing.
Mike Raab: Yes I think it's an excellent point. This is a first-in-class drug. We're exploring how to dose and when to dose and that was really the design of Phase 2b is understanding the kind of dose which is one would see that efficacy and those are the learnings that you just described that demonstrate that can work.
David Rosenbaum: And I just want to add so. On the ESRD study it was set up with sixth to the eight [ph] dose level to try to pinpoint where the drug works, at which level it works. Clearly if you look at the space of lowering drugs they're all used in a titration regimen. So we would envision if and when we move forward that it would be that type of way.
Unidentified Analyst : Thanks for taking my question.
Mike Raab: Sure.
Operator: Thank you. [Operator Instruction]. And I am showing no additional questions. I'd like to turn the conference back over to Mr. Mike Raab for any closing remarks.
Mike Raab : Thank you Ben. 2014 was predominantly an exciting and successful year for Ardelyx and we look forward to continued progress in 2015. On behalf of the entire Ardelyx's team we appreciate your support and look forward to continue our dialogue with all of you. Thanks again for joining us and Ben you may now disconnect.
Operator: Ladies and gentlemen, thank you for your participation. You may all disconnect. Have a great rest of your day.